Operator: Good afternoon. And thank you for attending today's Marchex First Quarter 2022 Earnings Call. My name is Jayson, and I will be your moderator for the call today. [Operator Instructions] I'd now like to pass the conference over to our host, Trevor Caldwell, SVP of Strategic Initiatives and Investor Relations. Please proceed.
Trevor Caldwell: Thank you, Jayson. Good afternoon, everyone and welcome to Marchex's business update and first quarter 2022 conference call. Joining us today are Michael Arends and Russell Horowitz, our Co-CEOs. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements, including references to our financial and operational performance, and actual results may differ materially from those contemplated by these forward-looking statements. Risks and uncertainties that could cause these results to differ materially are set forth in today's earnings press release and in our most recent annual and quarterly report filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements for subsequent events. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The press release is available on the Investor Relations section of our website. At this time, I'd like to turn the call over to Michael Arends.
Michael Arends: Thank you, Trevor. Hello everyone. Thanks for joining the call.  In the first quarter we saw continued progress with execution on our opportunity and the conversational intelligence in sales engagement space. Our product momentum is expanding our sales pipeline and our innovations are solving increasingly complicated and challenging problems for businesses as they tackle customer communications across multiple communication channels. Our focus on providing the kind of conversational intelligence Fortune 500 companies both want and need is resonating with existing customers and growing relationships, as well as winning new ones. In the past quarter, we have made sales traction with some of our largest customers, and we are starting to on board new relationships with potentially significant customers, including a large home services aggregator, which we expect to begin to on board this quarter. We anticipate all of these factors will help enhance our go-forward growth profile. With this noted, the pandemic and the resulting economic fallout continue to be factors that are impacting our customers. While we did see conversation volumes pick up modestly during the first quarter from January when the first Omicron variant seemed to peak in the United States, conversational volumes were not as robust in March as the year ago, period. Now this leads us to believe there are still lingering effects from the ongoing pandemic relative to the strong volumes of the second quarter of 2021, when the economy first reopened. In addition, supply chain disruptions and low inventory challenges relative to the year ago period, continue to impact our largest verticals. And we expect that this will take time to unwind. But once it does unwind, we think we will be benefactors in terms of potential growth impacts as increasing volumes could convert into a tailwind in many of our verticals and enables us to achieve accelerating and potentially increasing double digit growth rates. Overall, we are very optimistic about our business, our growing customer base and our product innovation opening new doors at many of our largest Fortune 500 customers and feel we are well positioned to emerge as a leader as this market evolves. One example of that momentum is with our launch of new products and expansion of channel partner initiatives with Marchex Anywhere, which is our cloud-based integrations platform. We recently announced the completion of a deepened integration with Twilio through this integration developers who use Twilio's programmable voice solutions for sales and marketing are able to increase the value of their customer phone calls by easily adding Marchex’s conversation, intelligence capabilities. Such developers do more with the Twilio API, making our conversation intelligence capabilities available to more businesses and unlocking the power of our artificial intelligence by surfacing relevant, actionable insights from phone conversations to help sales, customer engagement and marketing teams solve their real-world business challenges. In essence, we are bringing our capabilities to where businesses have already established technical infrastructures. This is important because it exposes Marchex’s conversational intelligence and AI signals into the workflows of thousands of businesses that we have not had access to before. By leveraging our data asset of more than a billion conversational minutes, we have built a suite of solutions that can help businesses gain insights they have not had previously. We expect to have more product launches this year that expand this suite, some of which are in beta now. Our innovations are solving mission critical challenges in receiving third-party validation. In March, the Business Intelligence Group named Marchex, a winner in its second-annual Artificial Intelligence Excellence Awards program. We received this honor for our conversational intelligence and AI technology. The Business Intelligence Group said that our platform fundamentally alters and enhances the way businesses can reach and interact with consumers, transforming marketing, sales and customer engagement. Our Marchex’s technology unlocks key, relevant insights from voice and text conversations at scale by extracting actionable signals that help marketing sales and customer engagement teams achieve their business objectives. It is always nice to receive industry recognition, but more importantly, we see the proof from our growing base of customer validation. While our customers work through the challenges of the current environment, we feel Marchex is well-positioned to accelerate growth potentially later this year and over the long-term. With that we'll hand the call to Russ.
Russell Horowitz: Thanks Mike. In the first quarter of 2022 through today, Marchex is continuing to focus on meeting the needs of businesses that are looking to leverage the growing capabilities of conversational intelligence to enhance the consumer buying experience and grow sales. By solving mission-critical challenges for businesses, Marchex is innovating rapidly and expanding our footprint with industry-leading brands and integration partners. These businesses want to create better buying experiences for their customer prospects and grow their businesses. And they need our conversational intelligence capabilities to do it. Throughout the year we expect to launch new sales engagement products supported by our award-winning conversation DNA technology, along with new channel partnerships and integrations. These initiatives will enhance the growth profile of Marchex, both sequentially and over the long-term. By staying through to our mission, to help our customers create better buying experiences and know the outcomes of their customer conversations, Marchex is expanding our market opportunity and putting ourselves in a unique position to emerge as a leader. I'm looking forward to updating you more in the coming months. And with that, I'll hand the call back to Mike.
Michael Arends: Thank you, Russ. At a high level, our first quarter 2022 results saw the business grow from the fourth quarter of 2021 and from the prior year. Overall, our growth continues to be influenced by the pandemic and macroeconomic factors, which are suppressing overall conversation volumes in many of our largest verticals. More specifically our volumes in the auto and auto services verticals continue to be impacted by pandemic and geopolitical related shifts in supply chain disruptions, parts, availability, and inflationary pricing pressures. As we have previously communicated, these factors may take time to unwind even as we grow the scale and number of relationships we're winning in those verticals. Over the course of the remainder of this year, we believe we may be able to overcome these macroeconomic factors through our momentum and sales wins with new customers and verticals such as home services and ongoing relationship expansion with several of our existing Fortune 500 customers. And further, based on recent conversations, we believe we will still continue to grow some of our largest customers, potentially, meaningfully. Looking more closely at the first quarter of 2022, January and much of February remained largely consistent with the suppressed conversation volumes of the fourth quarter of 2021, likely due to the extended spread of Omicron. As the quarter progressed, we saw some uptick from January levels, but due to the factors outlined, we did not see the robust conversation volume growth that we saw last or last March or into April. Looking at the more favorable takeaways from the quarter, we continued to see consistent sell through on new products with new and existing customers. And overall, we feel very good about our long-term customer and prospect pipeline and its ability to drive a more meaningful growth profile, as well as the benefit we believe we will achieve with an unwinding of the supply chain disruption, particularly in verticals like auto. For the quarter on a year-over-year adjusted basis when excluding certain pandemic-related revenue, timing and pricing adjustments that were made during 2021, in order to support impacted customers, revenue grew in the mid-single digit percentages. As previously mentioned, conversation volumes make up a significant component of our growth profile. As we return to a more normalized overall environment, we expect it will have a beneficial impact to our business potentially meaningfully so. We believe more significant growth is achievable with our existing customer base alone as volumes normalize. Well, that may take some time in certain verticals we expect we will have a larger base of customers to leverage in a normalized environment as volumes return. And that will have a very positive impact on our growth trajectory. On the operating cost side, our continued progress on technology infrastructure initiatives enabled us to achieve positive adjusted EBITDA, which positions us well in the future for discretionary operational leverage as our growth accelerates. For today's commentary, I will focus on our financial results from continuing operations. And on that basis, revenue for the first quarter was $13.2 million versus $12.7 million for the same quarter last year when excluding certain pandemic related revenue timing and pricing adjustments that were made during 2021 in order to support impacted customers. As noted earlier, we continued to see positive traction in our sales channel with several new opportunities with some of our largest customers. And during the quarter we expect to onboard a recent win in the Home Service vertical with a large aggregator. Furthermore, we believe that the continued growth and breadth of our product pipeline, which will continue to expand this year, should favorably impact our opportunities with current customers as well as open new channel opportunities. Now let's shift to the P&L for the first quarter. Excluding stock based compensation, amortization of intangible assets and acquisition or disposition related costs total operating costs from continuing operations for the first quarter were $13.5 million compared to $16.3 million in the first quarter of 2021. Service costs were $4.9 million for the first quarter. Service costs showed some leverage year-over-year, largely due to our progress with our technology infrastructure initiatives. We anticipate that as we continue to see successful sell through from the launch of our new conversational intelligence products and channel initiatives, we will continue to see a positive impact on service costs as a percentage of revenue over time. Sales and marketing costs were approximately $3 million. This amount was down from a year-ago period due to lower overall customer acquisition costs and other initiatives. Product development costs were $3.4 million and were down as a percentage of revenue compared with the first quarter of 2021 reflective in part of efficiencies gained from our cloud-based initiatives and our technology platform progress. Moving to profitability measures, adjusted operating loss before organization for the first quarter was $300,000. Corresponding adjusted EBITDA was a positive $150,000 improving modestly from the fourth quarter of 2021. GAAP net loss was $1.6 million for the first quarter of 2022 or $0.04 per diluted share. This compares to a net loss of $5.3 million or $0.12 per diluted share for the first quarter of 2021. Adjusted non-GAAP loss was $0.01 per share for the quarter compared to an adjusted non-GAAP loss of $0.08 per share for the first quarter of 2021. Additionally, we ended the first quarter with approximately $25 million in cash on hand. Now turning to our outlook. For the second quarter of 2022 we have seen conversation volumes fluctuating modestly in the first few weeks of the quarter from the year-ago period. As stated, this leads us to believe there are still some lingering effects from the current pandemic relative to the stronger volumes of the second quarter of 2021 when the economy began to reopen after being largely constrained in the prior year. Additionally supply chain disruptions and other macro events continued to impact some of our largest verticals. Despite this we anticipate that sales traction will lead to sequential growth in the second quarter as compared to the first quarter of 2022. Additionally, based on our current momentum we believe we will be at or near adjusted EBITDA breakeven for the second quarter. Now, with that said as we move through the rest of 2022, we are optimistic about the fundamental long-term trends in our business. We are winning new meaningful relationships and are having promising engagement with a number of our Fortune 500 customers about growing our relationships meaningfully. In addition we are seeing some of these relationships expand into multi-year frameworks. All of these factors bode well for the future. We believe that we've assembled the key ingredients to take advantage of Marchex's significant opportunity in the conversational intelligence and sales engagement markets. We expect to launch new products and to develop further channel initiatives like Marchex anywhere that can be important contributors to growth. And furthermore, we fundamentally believe that the economic headwinds created by the pandemic over the last two years will abate at some point. And in particular, if inventory disruptions begin to add and recover from current levels, we believe that could be an incremental driver of growth for Marchex. We believe that the combination of these factors and points of progress can position Marchex to potentially achieve record revenue levels with accelerating growth for our current business. This is why we are so focused on our current product and customer opportunities. We are growing our customer base and our relationships with world class brands. We are solving mission critical problems and innovating in ways that are being recognized by industry groups and major customers as businesses turn to conversational intelligence to build better customer relationships and grow revenue. I want to thank all of our employees for their dedication and continued efforts. There is much more to come. With that operator we will hand the call back to you.
Operator: Thank you. [Operator Instructions] Our first question comes from Mike Latimore from Northland Capital. Please proceed.
Unidentified Analyst: Hi, I'm Vivek [ph] calling on behalf of Mike Latimore. I have a couple of questions here. The first one is, are new prospects looking mainly for voice or voice messaging service from you?
Michael Arends: So this is Mike. Thank you for the question. I think from a voice perspective and a phone call perspective, that's a key constituent of our product offering today, but more and more so there continues to be conversations for some of the other channels of our product offerings, which include text today. Uh, and there clearly are other discussions which also relate to our overall channel strategy from a product perspective and a roadmap about expanding into other avenues that consumers are engaging with businesses, which include other types of voice communications and other type of messaging applications. But there continues to be robust engagement today in both voice and increasingly, so with text messaging conversations that our customers are looking too.
Russell Horowitz: Yes. And this is Russell, and the other part I'll just add to what Mike said is, you look at our history, voice – our expansion into voice and text and recognition of multi-channel over time. And so with our platform services strategy, part of that is to set ourselves up so that we can plug in those incremental channels based on customer needs as we evolve over time and expand those opportunities.
Unidentified Analyst: Okay. My second question is what's the verticals that are improving or slowing?
Michael Arends: So this is Mike again, I think the ones that are more significantly impacted by some of the things that we've mentioned on the call today and our remarks on the past. Including the pandemic, including some of the macro events that are affecting parts availability, inventory and supply chain disruption. And the inflationary price pressures, automotive would be one of those, that would be impacted, I think automotive services is impacted in the more recent time periods particularly with some of the macro conditions affecting inflationary pricing pressure, home services to some extent has been impacted as well. We see all of those areas with an opportunity to give us with an unwinding of some of these pressures at some point, which we believe will happen in the future, and particularly in the automotive area, we see from some of our conversations with the OEMs that there are periods whether it's the end of this year or into 2023 an unwinding of some of the inventory shortages as that come through – comes through, we are hearing from our customers that they expect conversational volumes to increase that naturally provides benefit to some of the services and the offerings that we have, how it affects our revenue. We do expect to see a tailwind or an uplift that comes even just with our existing base of customers.
Unidentified Analyst: All right, sounds good. Thank you.
Operator: There are no more questions waiting at this time. So I'll pass the conference back over to the management team for closing remarks.
Russell Horowitz: Great. This is Russ. To just give you some final thoughts; first and foremost we like our industry. We also really like our opportunity within our industry and we like our position a lot as well. We have the right products, customers and customer prospects to drive higher growth both sequentially and over time. And despite the macro elements noted we have various growth catalysts and multiple ways to win and accelerate any macro unwinding will likely only help and amplify our progress and growth. And with that, we look forward to updating you all on all of our progress very – again very soon. Thanks everybody for participating. Bye and be well, and we will be updating you on our progress soon.
Operator: That concludes the Marchex first quarter 2022 earnings call. Thank you for your participation. You may now disconnect your lines.